Operator: Please go ahead, Mr. Putnam.
Richard Putnam: Thank you, Carmen. Good afternoon. Welcome to HealthEquity’s First Quarter Fiscal Year 2022 Earnings Conference Call. My name is Richard Putnam, Investor Relations for HealthEquity. And joining me today is Jon Kessler, President and CEO; Dr. Steve Neeleman, our Vice Chair and Founder of the Company; Tyson Murdock, the company’s Executive Vice President and CFO; and Ted Bloomberg, our Executive Vice President and Chief Operating Officer. Before I turn the call over to Jon, I have two important reminders. First, a press release announcing our financial results for the first quarter of fiscal year 2022 was issued after the market closed this afternoon. The metrics reported in that press release include contributions from our wholly owned subsidiary WageWorks and accounts it administers. The press release also includes definitions of certain non-GAAP financial measures that we will reference today. A copy of today’s press release including reconciliations of these non-GAAP measures with comparable GAAP measures and a recording of this webcast can be found on our Investor Relations website, which is ir.healthequity.com. Second, our comments and responses to your questions today reflect management’s view as of today, June 7, 2021, and will contain forward-looking statements as defined by the SEC, including predictions, expectations, estimates or other information that might be considered forward-looking. There are many important factors relating to our business, which could affect the forward-looking statements made today. These forward-looking statements are subject to risks and uncertainties that may cause the actual results to differ materially from statements made here today. As a result, we caution you against placing undue reliance on these forward-looking statements and we also encourage you to review the discussion of these factors and other risks that may affect our future results or the market price of our stock detailed in our latest annual report on Form 10-K and subsequent periodic reports filed with the SEC. We assume no obligation to revise or update these forward-looking statements in light of new information or future events. At the conclusion of our prepared remarks, we will turn the call over to the operator to provide instructions and to host our Q&A. I’ll now turn the mic over to our CEO, Jon Kessler.
Jon Kessler: Thank you, Richard. Well done. Hello everyone, and thank you for joining us on this somewhat brisk very late spring afternoon. Today, we are announcing strong results for HealthEquity’s fiscal first quarter of fiscal year 2022, which ended on April 30, and we are also raising guidance for the full 2022 fiscal year. I will discuss our Q1 results and acquisition activity during the quarter, Ted will review operations and progress on WageWorks integration, and Tyson will review the financial details of the quarter and provide detail on our updated guidance for fiscal 2022 based on the results that we are reporting today. Steve Neeleman is here and will join in on the Q&A. Looking first to the five key metrics that drive our business and that we’ve been reporting on for a long time. HealthEquity benefited from the initial economic reopening trends that helped drive year-over-year growth in HSA members and in assets, while commuter and yield headwinds continue to impact total accounts and revenue. Revenue of $184.2 million fell 3% versus the largely pre-pandemic first quarter of last year and that was due to lower year-over-year custodial yields and commuter revenue, which were partially offset by HSA member growth, asset growth, and other CDB growth. Adjusted EBITDA of $59.0 million was similarly down from the first quarter of last year of $63 million. Total accounts ended the quarter at $12.8 million, which does not include the nearly 700,000 commuter accounts that remain in suspense. HSA members at quarter’s end reached 5.8 million, up 9% year-over-year and HSA assets at quarter’s end reached a record $15 billion, up and even larger 31% from a year ago. That’s a lot of percent. As Ted will detail, Team Purple started fiscal 2022 with very promising sales results, including a fiscal first quarter record of 115,000 new HSAs, up 11% from 104,000 new HSAs opened in Q1 last year. HSA investments grew by over $770 million in the quarter as members and their employers continue to contribute and invest. Investing HSA members grew 51% year-over-year with more of our members connecting health and wealth and the average balance of HSA members grew an incredible 20% year-over-year and even 4% sequentially from the fiscal year end, despite a restart of spending. In addition to these strong organic results, in Q1 HealthEquity reached agreements to put roughly 600 million to work driving additional growth this year and for years to come through the acquisitions of Luum, Further, and The Fifth Third Bank’s HSA portfolio. Luum is supporting the post pandemic of – so, I want to talk a little about each of those. Luum is supporting the post-pandemic reboot of our commuter benefits helping clients launch hybrid workplace strategies as offices reopen. Longer term, we think that Luum and commuter benefits in general will really be the tools clients use to shrink employee commuting’s carbon footprint. Further and Fifth Third will enhance HealthEquity’s market leadership and scale in our core and growing HSA business, adding approximately 0.7 million HSAs and 2 -- more than $2 billion of custodial assets upon their respective closings later this year. These figures are, of course, not included in the numbers that we reported today. Further, we’ll strengthen the network partner strategy that has helped fuel HealthEquity’s HSA growth from its very beginning, with significant new partners increased commitment to the Blue Cross and Blue Shield system, and new API-based platform capabilities to support flexible branding and deeper integration of HealthEquity into our partners’ offerings. It will also add deeper [ph] HealthEquity’s total solution for clients, partners, and members. The first quarter, in addition to delivering very promising sales and operating results and really important long-term acquisition activity delivered evidence of pandemic headwinds beginning to turn into tailwinds. Healthcare card spend reached pre-pandemic levels for the first time during the latter half of Q1, with former lagging -- formerly lagging categories such as medical office visits showing strong growth. New sales opportunities and RFP volume and the value of client wins all rose year-over-year in Q1, in line with new HSA opening growth that we reported today. Bond yields rose and yield curve steepened with both 10-year treasuries and the 10-year versus three months spread adding more than 50 basis points during our Q1, and that perhaps portends a rebound in HealthEquity’s custodial yields in the future. To fully capitalize on that trend, we are expanding our roster of principal guarantee partners what we heretofore call deposit partners to include new insurers as well as banks and credit unions, increasing competition for our managed assets, and choice for our HSA members. Heretofore, that’s a fancy word. Leading employers announced plans on -- finally leading employers announced plans to reopen their urban offices after Labor Day, consistent with our assumption of a start to commuter recovery in the second half of the year. So, in total in Q1, while pandemic effects still weighed on our financial performance, the team delivered strong sales, we committed to acquisition investments with significant long-term growth benefits, and there was compelling evidence of headwinds becoming tailwinds to growth for fiscal 2022 and beyond. With that, I will turn the call over to Ted to review operations and integration. Ted?
Ted Bloomberg: Thanks, Jon. Good afternoon, everybody. As Jon mentioned, our selling season is off to a great start. First quarter new HSA sales were up 11% year-over-year and 29% versus the first quarter of fiscal 2020. We’re seeing evidence that business opportunities are returning and that the stalled and deferred deals from last year are coming back to the market. RFPs which only represent a portion of our pipeline are up 13% year-over-year with bundled RFPs, meaning more than one product up 15% year-over-year. In the small and medium-sized market, our sales opportunities are up even more owing both to our marketing efforts and the strong relationships we have with our distribution partners. Cross-sell activities also continue to bear fruit as 30 enterprise partners have agreed to add new services by 1/1/2022 so far this year and 13 partners -- distribution partners had added new HealthEquity services to their shelves. On the integration front, we have a lot going on. The team completed another four platform migrations in Q1, and we are on track to complete the migrations and decommission work connected to the WageWorks platforms by the middle of fiscal 2023, which is ahead of schedule despite our recently announced acquisitions and execution on the COBRA subsidy, both of which leverage many of the same talented team members. While we have migrated 17 of the largest platforms and realized $65 million of synergies to-date, there remain a number of small and mid-sized migrations to complete to realize the remaining $15 million of the $80 million in permanent run rate synergies promised. As Jon mentioned, we are well-positioned to become the leading HSA provider once the Further and Fifth Third deals are closed. Planning efforts are under way to achieve $15 million of cost and revenue synergies within three years of close on the further transaction and we believe likely more after that as we fully integrate our technology platforms. Additionally, our cross-selling pipeline with Luum is beginning to fill with promising opportunities. Last but not least, is a huge shout out to the entire organization for the tireless efforts required to execute against the recent COBRA subsidy regulations. It takes our entire village to support this effort and partner with clients to deliver this subsidy to those that are eligible. There is still much to do, but we have started fiscal 2022 quickly and on the right foot. Thanks to the continued efforts of Team Purple. Now I will turn it over to Tyson to review our financial results.
Tyson Murdock: Thank you, Ted. I will review our first quarter GAAP and non-GAAP financial results, a reconciliation of GAAP measures to non-GAAP measures is found in today’s press release. First quarter revenue declined 3% as the economic effects of the pandemic impacted service revenue. Service revenue declined 8% to $102.5 million representing 56% of total revenue in the quarter. The decrease is primarily attributable to an over 60% decrease in active commuter accounts, while the growth in HSAs and other CDBs helped average accounts increased 1% year-over-year. Custodial revenue grew slightly to $47 million in the first quarter, compared to $46.9 million in the prior year first quarter, as 19% growth in average HSA cash with yield and 91% growth in average HSA investments with yield more than offset a 33-basis-point decline in the annualized yield on HSA cash. The annualized interest rate yield was 179 basis points on HSA cash with yield during the first quarter of this year. This yield is a blended rate for all HSA cash with yield during the quarter. The HSA assets table of today’s press release provides additional details. Interchange revenue grew 9% to $34.7 million, representing 19% of total revenue in the quarter. The interchange revenue increase was primarily due to a rebound in spend across our platforms in the quarter and growth in average total accounts. Gross profit was $103.1 million, compared to $108.1 million in the first quarter of last year. Gross margin was 56% in the quarter. Operating expenses were $98.9 million or 54% of revenue including amortization of acquired intangible assets and merger integration expenses, which together represented 16% of revenue. Income from operations was $4.3 million, compared to $15.1 million in the prior quarter. Net loss for the quarter was $2.6 million or a loss of $0.03 per share on a GAAP EPS basis compared to net income of $1.8 million or $0.03 per share in the prior year. Our non-GAAP net income was $31 million for the first quarter of this year, up from $30.8 million a year ago. Non-GAAP net income per share was $0.38 per share, compared to $0.43 per share last year. Adjusted EBITDA for the quarter decreased 6% to $59 million and adjusted EBITDA margin was 32%, while operating through the impact of COVID. Turning to the balance sheet. As of April 30, 2021, we had $737 million of cash and cash equivalents, with $972 million of debt outstanding net of issuance costs, with no outstanding amounts drawn on our line of credit. The cash balance, of course, will still include -- still includes the funding required to close the Further and Fifth Third HSA acquisitions. Based on where we ended the first quarter and our current view of the economic environment, we are providing the following guidance for fiscal 2022. Revenue for fiscal 2022 to range between $755 million and $765 million, non-GAAP net income to be between $122 million and $126 million, resulting in non-GAAP diluted net income between a $1.45 per share and $1.50 per share based upon estimate -- an estimated 84 million shares outstanding for the year and adjusted EBITDA to be between $241 million and $247 million. Today’s guidance includes our most recent estimate of service custodial and interchange revenue based on results today. Since we have not yet closed on the acquisitions, guidance does not include potential revenue from Further or from the HSAs from Fifth Third Bank. As Jon indicated earlier, we anticipate closing on both those acquisitions later this year. Our guidance assumes a yield on HSA cash with yield of approximately 175 basis points as with all of today’s guidance, our yield guidance does not back to the pending Further or Fifth Third HSA acquisitions including transition of HSA cash, insured assets to HealthEquity principal guarantee partners at the then prevailing rates. We also continue to be conservative with our commuter estimates and anticipate some accounts to reactivate in the latter half of the year due to return to work. Guidance also contemplates estimated revenue from COBRA subsidy efforts and the effect of run rate synergies from WageWorks that Ted discussed. The outlook for fiscal 2022 assumes a projected statutory income tax rate of approximately 25% and a diluted share count of $84 million. As we have done in recent reporting periods, our full year guidance includes a detailed reconciliation of GAAP to the non-GAAP metrics provided in the earnings release and a definition of all such items is included at the end of the earnings release. In addition, while the amortization of acquired intangible assets is being excluded from non-GAAP net income, the revenue generated from those acquired intangible assets is not excluded. With that, I’ll turn the call back over to Jon for some closing remarks. Thanks.
Jon Kessler: Thanks, everybody. Thanks, Tyson, nicely done, and Ted. So typically at this point in the proceedings, I think, those responsible for the promising start to the year and that’s Purple team members. Today. I also like to give thanks for something else, which is the resiliency of teammates over the past 15 months. We stayed safe, families are taken care of, well deserved bonuses were paid and despite not seeing each other in person for more than a year, our team became a more inclusive and more cohesive bunch, better positioned to deliver on HealthEquity’s full potential for our members, our clients, our partners, and of course, our shareholders. This is not something leaders do, and in fact, I haven’t even put on long pants in 15 months and we all know from the weekend the challenges that some leaders have with pants. So this is something teams did. Thank you, Team Purple, for this truly remarkable achievement. With that, let’s open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Greg Peters with Raymond James.
Greg Peters: Good afternoon, everyone.
Jon Kessler: Good afternoon, Greg.
Greg Peters: Hey. Thank you for your comments about pants. You know how to paint a picture for sure.
Jon Kessler: I mean, I -- all I’m saying is it seems like my shorts policy has been justified by all the pants attention.
Greg Peters: I got it. I’m in shorts right now myself. So...
Jon Kessler: As you should, everyone in Florida should be.
Greg Peters: Indeed. Anyways. So, I guess, I’d like to spend a second and have Tyson and Jon, you obviously will comment as well, talk a little bit more about the service revenue component. And I know Tyson you said you gave some comments of why it was, what the pressure was? But I guess what I’m interested in is not what happened in the first quarter but what I should think about service revenue maybe as a percentage of total account -- per total accounts or as the economy hopefully recovers in the back half of the year, should these numbers begin to improve on a per account basis or is there some competitive pressure out there that will limit the upside to the service revenue on a per total account basis?
Tyson Murdock: I’ll go ahead and start, Jon.
Jon Kessler: Tyson?
Tyson Murdock: Yeah. I mean, it really comes down to, the commuter comes back, right? That’s really what’s impacting that service revenue line item, and so it just matters when you think about your model and how you think about the return of when that’s going to happen. You know what we just talked about was, we see as well as our own business people coming back in that September timeframe and really restoring that, and of course we’re watching that very closely and to-date we really haven’t seen that return yet now, but you see it in the news and you see people at Golf tournaments and you see people everywhere, so you know that that’s going to happen. And so, I think, about that -- when I think about the competitive side of it, as Ted just outlined, we’ve had a -- we are having a very successful selling seasoning, actually gave quite a few metrics within that dialog there to show that. And so, I don’t think there is anything unusual, Greg, given our prior conversations, of course, there is always the continued effort to increase HSA account and so our pricing on that will come down single-digit percentages every single year. We don’t disclose that, but we certainly are competitive in there when folks have the right number of assets and we’re able to really underwrite a deal that from a overall bundling approach provides the right amount of revenue and profit, then we’ll do it. And I think the -- I think that’s really the only thing that remains the same as far as competition. I’ll stop there and let’s see if Jon has some other adds.
Jon Kessler: No. I mean, look, I’m not sure I have anything real to add, but I’ll add something anyway. I mean, which is just -- the thing is, the commuter rebound is not going to be a light switch where -- and we talked about this last quarter that that when we were quizzed, Greg, I think, by you and others, about the sort of implied conservatism about our guide on the commuter rebounding, and that remains true. It just -- but it is clearly happening as folks are returning to cities and so forth. And so, but that’s really the biggest factor in the whole discussion.
Greg Peters: Okay. And then my follow-up question will pivot to M&A. You’ve had a busy year so far and you raised equity, you’ve announced some major transactions to spend the capital you’ve raised in equity. What’s your view of the M&A pipeline? Is there going to be another -- should shareholders expect another capital raise for you to fund potential opportunities that you see developing in the marketplace or are your hands full at the moment just processing what you’ve already announced?
Jon Kessler: I feel like, somewhere, the antennae of like a 1,000 hedge fund managers just twitch. Bit not to imply that hedge fund managers have antenna in any event. I -- look, I think, the big picture here is that you’re seeing increasing returns to scale in our business and those returns are not going to be evenly shared. And so there is going to continue to be M&A activity, and I think we’ve demonstrated that in anybody both that we can deliver strong returns from M&A, in particular portfolio related M&A and that from the perspective of sellers that we are a good partner. And the Fifth Third transaction is sort of an example of that where I think as folks understood -- understand certainly was there were some discussion in the public domain about Fifth Third talking and working with others, but we have I think proven to be a really good partner in navigating their modest twists and turns, but a few twists and turns in getting this thing done. So that to me is, is the key to this venues. One, can we show that we’re delivering good returns; and two, can we show that we’re a good partner for sellers, and that’s a winning combination that we’ve got. I don’t know what deals will be concluded in the second quarter, third quarter, or fourth quarter, but we do even after this current transaction, we’ve -- transactions we have a little bit of powder left for those kinds of things and for those kinds of portfolio type things, and we won’t hesitate to go forward if we think they’re strong return for shareholders, so that’s kind of where I am at right now.
Greg Peters: Got it. Thanks for the answers.
Jon Kessler: Thanks Greg.
Tyson Murdock: Yeah. Thanks, Greg.
Operator: Thank you. Our next question comes from George Hill with Deutsche Bank. Your question please.
George Hill: Good morning, guys. Thanks for taking the question. And Jon, I’ll say it’s over 90 degrees in New Hampshire. So I’m in shorts too.
Jon Kessler: Outstanding.
George Hill: I guess, I want to…
Jon Kessler: Probably on backwards.
George Hill: I don’t know about that. I would just focus in on two questions. Number one is on the selling season, and I guess, do you see a return to normal happening fast enough that you feel comfortable about the company’s ability to take share on an organic basis as we go through the selling season for 2022 starts? And part B of my question is, I don’t know if you have the ability to have interactions with the customers of either Further or Fifth Third, by talking about maybe net dollar retention or net client retention, would love to hear your thoughts around that?
Jon Kessler: Yeah. Ted, why don’t you start and then Steve can provide some color around what we’re seeing in the sales cycle and beyond the statistics offered earlier, and Ted I think you’re in a great position, I’ll add something if it’s valuable to talk about the Further clients since collectively we’ve talked to most of them.
Ted Bloomberg: Yeah. Sure. I’m happy to kick it off and then turn it back to you gentlemen to add some color commentary. So I think on the first part of your question, George, on the sales cycle. We are cautiously optimistic. Our sales representatives are busy. The quality of the finalist meetings that we’re holding are high, deals that did disappear last year are coming back to the market. Our relationships with partners are developing. But one of the -- you’ve covered us long enough to know, we don’t really know how the sales cycle is going to turn out until January of 2022. And so all the inputs and all the top of the funnel stuff and all the activity levels are where we want to be and we feel really well-positioned relative to the marketplace in those conversations. Before I turn it over to Steve and Jon, I’ll just take a quick shot at the second part of your question, which is the Further and Fifth Third client base is. We did work analytical types. We did a fair amount of market research in preparation for these acquisitions, especially the larger one Further. And Further has a tremendous reputation marketplace. Their clients like working with them. Their distribution partners like working with them, which is one of the things that attracted us so much to the asset and so we have high hopes for client and partner retention on both sides of the coin. I personally, as Jon said, in on significant portion of both client and distribution partner calls and we are really pleased that we’ve heard. And so we think we have in the Further team a great team that’s delivered great high quality service to their clients for a long time and so we’re pretty bullish about the retention prospects, but obviously, a lot of work to be done and what’s your job. So I’ll turn it over now to Jon and Steve to add some color.
Jon Kessler: Steve?
Dr. Steve Neeleman: Yeah. Hey, George. Good to hear your voice. I would just kind of tag team off of what Ted said. I think what we’ve noticed this year is just the tone is different in these meetings, right, rather than people with their hair on fire trying to figure out how to get people out of the office and all of that and just really a lot of distraction. There just is a lot better focus and people are making choices and we want to win them all, but sometimes leaders will say it’s better almost to get it know we’re going in a different direction, then put this on hold for another year, because it kind of resets the clock and we’re pretty confident that when people even if they don’t choose HealthEquity, they’re going to choose us at some point and I think we’ve just seen a lot more of this positive intent to make choices move ahead, continue to offer health savings accounts and other CDBs to their membership base. And so, we just feel that as kind of the proverbial tailwind whereas last year, it was a headwind. People were just distracted and we have a lot of no decisions last year and a lot of finalist meetings that you could tell that we weren’t the top of their mind when we remain with them. So we’re encouraged and I love being on all of these calls and meetings. I’m -- as to do with our teams.
Jon Kessler: The point I’ll add to all that is, in terms of, I think, those questions -- in fact those answers effectively address the question around market share growth. If I then sort of just talk about market growth. One of the items that Ted talked about in his prepared remarks is that the growth -- is the growth that we have seen in lead flow around the SMB and mid-sized markets and that is to a significant and its several fold what it was last year. And that’s in part due to the efforts that the team has made to sort of build the muscle around direct selling, as well as the muscle around marketing and lead generation on the B2B side into small and mid-sized, now that we have a product to sell and so, that’s true. But it’s also perhaps reflects some genuine growth in that area of the market, which we really want to see for the market to -- the market as a whole to outperform here. So, again consistent with the earlier comments, I think, George, the answer is that it’s only one quarter, but it’s a quarter that both in terms of the actual accounts turned in relative to what other competitors reported, as well as the sort of pipeline data is quite promising.
George Hill: Very helpful, Jon. Thank you.
Jon Kessler: Thank you, sir.
Operator: Our next question is from David Larsen with BTIG. Your question please.
Jon Kessler: Hi, David.
David Larsen: Hi. Hi. Congratulations on a good quarter and a good start to the year here.
Jon Kessler: Thank you.
David Larsen: Can you maybe talk? Yes. Can you maybe talk a little bit more about your expectations for custodial revenue? It seems to me like the yield environment is coming in right in line with where you thought it would. Just any thoughts around where that might trend going forward. There has been talk about rising inflation, potential for the Fed to raise interest rates. Just any more color around that would be very helpful? Thanks so much.
Jon Kessler: Sure. Let me say, in the short-term, it is important to note that our guidance for the year is $175 million on custodial yields and remains $175 million and that is despite turning in $179 million with respect to cash with yield in Q1. And as I believe it was Tyson maybe it was Darcy commented last quarter, we did expect that that yield will come down a bit over the course of the year as we have multiyear agreements that will roll over as sort of part of our ladder. So the yield headwind broadly is still with us. That having been said, I do think there are a number of things, both that we are doing in that, that are happening out in the marketplace or the economic environment that are promising. We are clearly the fact that it’s not, I think, we all tend to look at maybe the last 10 days or whatever our feeling is. But we’ve now gone through both our full fiscal first quarter in the period sense, where medium and longer term yields are sustaining at substantially higher levels, 50 basis points, 60 basis points higher than they were let’s say six months ago. And additionally while bank deposits pricing will always lag all of that and should. Nonetheless over the long-term, those things tend to fall in the same pattern and so that’s encouraging. And then internally as I offered in the comments and Tyson kind of mentioned this as well. We’re taking some steps to assure that the assets that we manage that are guaranteed our IRR competed for vigorously, and even more so than in the past. This is always been a strength of the company. It’s always been something that we try to do well both for ourselves and for our members and clients that helps us keep these competitive and all that kind of stuff and we’re going to do more of that. And so that’s another thing that as that kind of headwind turns into a tailwind that our goal is to build the biggest possible sale to cash and I don’t think that will have an effect this year if anything. Again, over the course of the remainder of this year, our expectation is that the guidance implies is that that yields will still be coming down. But I think over the long-term of the business, this seems like a pretty good thing. And I should say lastly that, having a kind of weathered this period of ultra low yields, we’re weathering I shouldn’t say weathered. Weathering this period of ultra low yields and kind of borrowing from Steve’s experience in the airline business and using that period to really right size the business and make the cost decisions we need to make and be efficient and also continuing to build the platform and so forth, that all pays even bigger dividends when you see those yields come back. So we’re looking forward to the point where we can -- while it isn’t here yet, we’re looking forward to the point where we can all seem like we’re real smart then, but it will be because of the actions we’ve taken now.
David Larsen: Great. Thanks so much. It seems like this might be sort of a floor for yields. Would you generally agree with that…
Jon Kessler: I think we…
David Larsen: … and fiscal 2023 should probably have higher yields, would you agree with that generally speaking?
Jon Kessler: I -- what we’ve said elsewhere is and I say we are definitely not in the business of giving fiscal 2023 guidance on anything at this point. What we’ve said on that point is that at least in terms of cash that fiscal -- we are still placing contracts at less than they are rolling over to, right? So, the implication is that and fiscal 2023 would be the third year of that activity. And so, the implication is that that we’re -- that I don’t think I’m in a position to say it up. I’m not calling it Kessler bottom on this. But -- or I should say, and probably, that’s all I should say, because I don’t feel like we should be out there. We’ll provide 2023 guidance as soon as we can. I mean, but that’s about it. Tyson anything to add on that point?
Tyson Murdock: No. I think you got it.
David Larsen: Thanks very much. Congrats on a good quarter.
Jon Kessler: Thank you, David.
Operator: Our next question comes from Donald Hooker with KeyBanc. Your question please.
Donald Hooker: Great. Good afternoon. I was curious -- I’d love to hear Jon your thoughts. I would do what one thing that stuck out to me on the further acquisition was sort of the ability to private label and I was trying to make heads or tails of that. Is that something that significant can you talk about like why one would want a private label? I think you tried that in the past and it wasn’t there is something unique about what furthers doing that that makes that a little bit more interesting now?
Jon Kessler: No. Thank you for asking about this, Don. I think what you see is, it’s interesting having been around our market for a very, very long time. Our goal is to be -- to meet our partners where they are with regard to how we distribute, when we’re distributing to our partners. And there are -- there’s -- there are times when partners are very interested in kind of embedding the product more deeply and then there are times when they’re more interested in conveying independence and those things kind of come and go for each partner. At HealthEquity, we have primarily not been a shop that -- we’re using private label, but let’s understand, it’s a little more broad than that. It’s really about the depth at which we can embed the product into the services of our partners, right? We have -- that has not been our thing. You’ve got to choose what you’re going to do and so forth. And there are certain elements that will probably never be our thing. We don’t sell software. We sell a service that software enables that kind of thing. But what Further has done and what through the magic of API we will be doing together is, I shouldn’t say the magic of it, yeah, it’s not magic, but it’s sometimes you know it’s like ball bearings, it’s all APIs. And I think that -- what it really gives us the opportunity to do as we migrate is to meet partners where they are. And sometimes partners want to do more kind of embedding of the product, label or otherwise and sometimes less and I just think that’s a great opportunity. The primary place that this has been utilized is in the health plan segment, right, where you know you’ve seen some clients make round trips on this, some partners make round trips on this topic. But I think there’s opportunity across what we do, where we can leverage the best of what we do, as well as our partner -- as well as doing more than one plus one makes two with our partners. And so, I guess, I see this as useful from a technology perspective, useful certainly competitively to the extent that it’s something we couldn’t offer. There are absolutely partners that would love to have partnered with us, but we just haven’t had this capability and we want to be whoever in HSA. So that’s kind of the idea is and sometimes being wherever HSA is means we brought on real depth on the CDV side, so we could deal with clients who want to buy a total solution and then sometimes that means partnering in different ways and then sometimes as here it means being able to be offer whatever level of solution our partners want at the point that they want it to help drive our strategy, but also their strategy.
Donald Hooker: Okay. Got it.
Dr. Steve Neeleman: And then maybe…
Jon Kessler: Go ahead, Steve.
Dr. Steve Neeleman: I just want to make one comment just real quick. It’s interesting even among health plans some segments they want to have it more completely brand…
Jon Kessler: Right.
Dr. Steve Neeleman: …to the health plan. Whereas like for example large employers tend to say they don’t really want that. They may have multiple health plans. It doesn’t make sense to have a health plans brand on the HSA or the CDV solution, whereas when you get into smaller businesses individuals maybe it makes more sense. So to Jon’s point this just creates more flexibility as we partner with these health plans. So Jon said it well.
Donald Hooker: It’s so intriguing. And then maybe real quick, can you give us a quick update on your perspective on the employment picture at your employers. I think last year we were worried about unemployment.
Jon Kessler: Yeah.
Donald Hooker: Seems like things are raging back, is there a tailwind here for you guys. What’s in your guidance?
Jon Kessler: Yeah. I think, I mean, our guidance simply reflects the broad macro consensus. I mean what I would say is that, just now this is just me putting on my and very ill-setting macro economy of that. I think the unemployment rate is declining faster than the employment market is huge and the source of that is twofold. One is you have workers that are never going to be in the workforce and that’s seems pretty clear from the data and or they will reenter very slowly whenever it is that they absolutely have to or they try something else or whatever. But there’s probably 3 million workers that that will never re-stepped. There’s a good chance they will never return to the workforce and that’s why the unemployment rate is declining faster than jobs are growing. And then, secondly, there has been some real dislocation in certain industries. That’s a -- that’s real and is going to take some time to heal. So I guess my point would be we are absolutely following the macro consensus and this is -- this item absolutely it’s one factor that should help the underlying market heal and if we can take the kind of share this year that we took last year with a healed market that would be absolutely fantastic. But it’s also worth noting I think just that that the headline doesn’t tell the full story. We are still not back at the level of jobs that we had pre-pandemic and we’re still probably $5 million, $6 million short of that. So there’s still some wood to chop and it’s going to the gains are going to be harder yeah from here.
Donald Hooker: Thank you for your perspective.
Jon Kessler: Thanks, Don.
Operator: Our next question comes from Stephanie Davis with SVB Leerink.
Jon Kessler: Hey, Stephanie.
Stephanie Davis: Hey, guys. Congrats on the quarter and the transactions and count me in on team shorts as well. It is very much…
Jon Kessler: All right.
Stephanie Davis: Could you walk me through the change to your guidance and how we should we think about Luum’s impact to it and how much of that with all step by yields versus service revenues as you guys remain conservative on commuter versus maybe something else, some other bucket to compare with?
Jon Kessler: Tyson or Ted?
Ted Bloomberg: Yeah. I…
Tyson Murdock: Yeah. Thank you Stephanie. How are you?
Stephanie Davis: Hey.
Tyson Murdock: You got me. No. Thanks for the question. When I think about the raise on guidance I really think about we had a reasonable quarter coming out of Q1 that was good. It was still a pandemic quarter obviously, so you still have the issues with commuter. You still -- you have spend coming back and so that’s the positive thing. You’ve got FSA accounts rolling off based on some of the timing and the legislation pushing those out. So some that’s then goes away and then you’ve got the COBRA efforts in there. So it’s really a balance among all those different items to really push that guidance up a little bit and so we thought that’s exactly where right now we think that we’re going to be. And there’s a lot to be learned over the course of the remainder of the year about how the business returns from that. So those are some of the things that I’m taking into account as I think about it and I don’t know, Jon, Ted, you guys have anything to add?
Jon Kessler: No.
Stephanie Davis: All right. Then, thinking about those pockets of upside that you could have. I was hoping you could double that more into the COBRA business and any kind of early influence you’re seeing on the recent policy change around reimbursement?
Tyson Murdock: Yeah. There we’re particularly busy and so we did actually mean. So the team as Ted outlined made significant efforts to get in front of our clients and customers to help them be within the regulations and start to get off the commitments for the notification efforts that needed to occur and get those out and certainly we will generate revenue during Q2, mainly getting those out and then you’ll see the after effect of that and potentially the people who uptake COBRA. But there has been a significant from that you see the cost, you see the revenue that will come in Q2 and not necessarily going to get amounted some of that in the initial guidance and some of that now in this uptick in guidance here as well.
Stephanie Davis: And it’s done. Thank you both.
Jon Kessler: Thanks, Stephanie.
Operator: Thank you. Our next question comes from Sean Dodge with RBC Capital Markets.
Jon Kessler: Sean.
Sean Dodge: Thanks. Hi. Good afternoon. Maybe going back to the acquisition the Fifth Third HAS, so 149,000 accounts holding $407 million of assets. Are there any other details you can share with us to help us understand the potential incremental revenue that’ll add their monthly account fees similar to HealthEquity? How much is invested versus cash? Any difference in the yields those assets are earning?
Jon Kessler: Yeah. I mean a couple of things. I mean first of all we say we’ll either at close or next quarter whatever the continent some point shortly thereafter we will reflect this in our guidance and then we’ll have it and we would sort of encourage you to do the same. But all that having been said, I think, typically when we acquire portfolios, the per account fees are lower than sort of HealthEquity average per account fees for an HSA because that’s something that think we’ll have relied on more readily and also because in this case certainly because the average balance is higher. If you do the math the average balance in the counties is well over $3,000. So and then I guess, so that’s probably one factor and we’ll obviously place the assets. And so we’ll place them at then current prevailing yields and we’ll see how that goes, when it’s time to do it. And then the -- spend the interchange sites pretty typical for our accounts. So that’s a little bit of information I guess fundamentally, I would say, Sean that, we’ll try and reflect this in our guidance as soon as it closes the challenge of doing so in advance sort of boils down to we don’t know the close date.
Sean Dodge: Got it. Okay. And maybe just quickly on COBRA, Tyson you said there was a little bit of activity revenue related to some of the notifications in the second quarter. If we think about the improving employment picture the employment recovery, does that impact your view on how many end up actually being in a position where they would need or opt to take COVID or not COBRA in the latter half of the year…
Jon Kessler: We don’t think too many people are going to opt to take out. I think, I would suggest it at the terrible early days, but not by us.
Tyson Murdock: Not by all of us.
Jon Kessler: I mean, I’ll take a shot at this. I mean look, I think this is kind of one of the unknowns that that has led us you know that’s factored into our guidance remainder of the year and it’s an interesting here with more than the usual number of moving pieces. And so the real answer is, is we don’t have that and when we don’t know, we try to forecast what we can see, and that’s what we’ve tried to do both in terms of costs and revenues, and you could -- someone could mount that exactly that argument say, well, wait a minute if everyone has jobs then you know and there’s some truth to that. So will it look one way or the other, this thing is not going to be the -- be all end all of human existence in one direction or the other. The best thing about it is that some people, who need to get taken care of, we will take care of, and hopefully, we have shown our clients that we’ll work our butts off to do that, whether the revenue impact or profitability is material enough.
Sean Dodge: Got it. Okay. That’s very helpful.
Jon Kessler: Thanks, Sean.
Operator: Thank you. Our next question comes from Mark Marcon with Baird.
Mark Marcon: Hey. Good afternoon and congrats on the quarter. I am wondering, if you can talk a little bit about with the increased number of deposit partners that you’ve talked to. How should we think about the typical premium that you’re going to get as it relates to the effective yield relative to say three-year to five-year jumbo CDs? How’s that looking now?
Jon Kessler: Yeah. I mean, it’s a little bit hard to know Mark, because there’s not much placement occurring right now. We’re in a season where there’s a lot of talking and the rubber meets the road a little later in the year. But, well, I guess, I will say is that, the trick to obtaining a premium period is having -- is one having competition for your money and two having a track record of delivering, because at the end of the day nothing, none of these agreements are real until the money moves. And so, those are things that help us. There are a lot of discussions going on with different parties. And I unfortunate, I think, this is one of those where and again obviously most of the impacts would be -- all the impacts would be in future years since most of our placements will occur late in the year. But nonetheless, it’s something we worked pretty hard at every year and certainly having more places to put that money makes us somewhat more optimistic that we can catch as much of the benefit of having it as there is.
Mark Marcon: Okay. I mean just to follow-up on that, I mean, it does seem, you did say that current placements are coming in and an effective yield that’s less than what’s rolling off?
Jon Kessler: Sure.
Mark Marcon: Do you -- are you getting the sense though that that bottom end is starting to move up. So as we think about not necessarily for the full year for next year, but just in terms of sequentially that by the end of this year, we’re probably getting -- we’re going to be getting closer to the bottom in terms of the effective yield?
Jon Kessler: I mean the gap has clearly narrowed in both directions, right? So I think you’re trying to ask, if there been a narrowing on the other side, that is the demand side and the answer is, yes.
Mark Marcon: Okay. Great. And then Interchange really picked up nicely. Can you talk a little bit about this the sequential monthly acceleration that you’re seeing there, because that looks, I mean, that’s where things were really strong relative to expectations. So can you talk a little bit about that just the pace of the rebound there?
Jon Kessler: Tyson?
Tyson Murdock: Yeah. That was a real bright spot as we closed every single month we will see that things were largely normalized if not even a little better in some cases relative to the different places where people spend and particularly in the area of people going and getting medical procedures which was the one that was sort of lagged and the one that has the most amount of spend to be tracked. Yeah, we saw that there was pretty consistent. They walked through the quarter and so that was nice to see that, nice to see that was better than what we even expected. Of course the commuter interchange is clearly still not there.
Mark Marcon: Yeah. Great.
Jon Kessler: I would just…
Mark Marcon: Thank you very much.
Jon Kessler: Just add Mark here just for others. I know you know this very well because we’ve talked about many times. But that interchange is still has a seasonal component to it. And so for example, we will -- in the first quarter we benefit from the fact that we have accounts that are ending in this case from two years ago. But nonetheless are ending their grace period, right, where -- where and all that kind of thing that we will not have in future quarters and that’ll be reflected in both total accounts, as well as interchange. So and of course people have topped off their accounts at the beginning of the year and all that. So we were certainly pleased to see it and I think relative to our kind of pre-pandemic levels we kind of feel like healthcare spend is kind of back to where it was, but that’s still -- there’s still got to be some seasonality in Q2 and in particular in Q3, but folks should be thinking about as they model for you.
Mark Marcon: Great. Look forward to talking again tomorrow.
Tyson Murdock: Yes.
Jon Kessler: Thanks, Mark.
Tyson Murdock: Thanks, Mark.
Operator: Thank you. Our next question comes from Sandy Draper with Truist Securities.
Sandy Draper: Thanks so much Joh since you bring it up the 80s sounds like there may be effects of all this stuck in the commuter benefits.
Jon Kessler: A lot but.
Sandy Draper: So well a lot of my questions have been asked, but maybe just following up on that, the comment about the stronger spend, we did note for the first time in a while we actually saw the cash per account was down sequentially been building, is that just because we’re starting to see some spend and just loved your thoughts on how you see that interchange of it. The interchange revenues going up, should we make sure we’re being taking the offset and added some of that money can be coming out of the cash balances?
Jon Kessler: Yeah. It’s a really important point, Sandy, thank you for making it. Look we’re thrilled with the aggregate balance growth just thrilled and thrilled that that is a function of not just market growth and primarily market growth, but also of growth, meaning net asset value growth, but also of people continuing to put more into the accounts than they’re taking out. And in case it could certainly have been made that we would see in this quarter balanced declines as people sort of began to spend again, we see that. So I think what’s the biggest thing that’s happening is just the continued move towards investing. And as we’ve talked about many, many, many times, while that has a tradeoff in terms of individual dollars, as we saw in this quarter, it also has the effect of people tending to put more money in and stick around and that money grows faster and so forth, but you know in the aggregate. So that’s good for the business. And I kind of relate it to a little bit to predictions about the long-term score for the sector as a whole to achieve its full potential. More people have to be looking at these long-term accounts and that’s going to be an investment balances grow quickly account balances and so seeing that at this level in this quarter, even in a quarter where we still have substantial increase in spend on a sequential basis seems pretty good.
Sandy Draper: Got it.
Jon Kessler: But it is something -- but it is -- as you say it is something that we all have to factor in and certainly we have tried to factor into our thinking about guidance for the full year.
Sandy Draper: Okay. Great. Well, I actually don’t have a follow up. So I’ll try to keep the call though now.
Jon Kessler: I know you wearing -- I’m sure Sandy is wearing shorts.
Sandy Draper: Yes. I’m wearing shorts.
Jon Kessler: Marcon is our only maybe non shorts guy and maybe -- I mean maybe Peters. Peters might not be wearing shorts. Even though he said he was wearing shorts.
Operator: And we have…
Jon Kessler: Go ahead, Carmen.
Operator: Okay. We have a last question in queue gentlemen, Allen Lutz with Bank of America. Your question please.
Jon Kessler: Mr. Lutz?
Allen Lutz: Hey. Thanks for taking the questions. Going back to the service revenue, I guess, we know that the commuter segment is causing a big impact there. But historically you look at fiscal 2019 fiscal 2020 sequentially in fiscal 2020 that was down slightly. So can you just remind us as we think about the service line item heading to the second quarter, what are the puts and takes in addition to commuter there?
Jon Kessler: Tyson? Hi, Allen.
Tyson Murdock: Yeah. I do think it goes back to just thinking about how we underwrite deals and thinking about amount of assets, right, the fees associated to and then the bundling aspect that would as well. And so there when you think about HSAs and how we press those relative to account balances and a good example is going that Jon just pointed out which was the Fifth Third deal and the amount of those accounts that we’re bringing over and there’s a lot of revenue to be generated off those accounts that increases the size of the sale and so that moves that revenue down into that can still be a line item. But if you really think about the whole the whole aspect of our custodial and service revenue line items, it’s almost starting to feel, when I think about deals of signing off on as a blend of it, because I’m thinking -- to that particular customer and that’s even more so true when you think about bundling sales together and finding opportunities to have more profit there essentially being able to get better pricing on certain things in the service fee area to increase the amount of margin that we’re able to take off of those. So I think you’ll continue to see that a little bit and to the extent that, like, Jon said, over the long-term, we can get rates to rebound that creates a huge opportunity for us and I think it’s not going to be anything that’s going to be an extreme amount of the decrease relative to that service revenue line item. We certainly manage it every single day. I’m signing each one of those deals. We’re thinking about how we negotiate and install and so forth.
Allen Lutz: Got it. Thank you.
Operator: Thank you. And this concludes Q&A. I would like to turn the call back to Jon Kessler for his final thoughts.
Jon Kessler: Well, that’s -- you’ve gotten as much thought out of me as you’re going to get. Thanks everyone. Look forward to seeing some of you at least on video shortly and maybe soon in person who knows. Thanks all.
Operator: Thank you for participating in today’s program. This concludes the conference and you may now disconnect. Have a great day.